Operator: Hello, and welcome to Newmont Fourth quarter 2025 Results and 2026 Guidance Conference Call. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Newmont's Group Head of Treasury and Investor Relations, Neil Backhouse. Please go ahead.
Neil Backhouse: Hello, everyone, and thank you for joining Newmont's Fourth Quarter 2025 Results and 2026 Guidance Conference Call. Joining me today are Natascha Viljoen, our President and Chief Executive Officer; Peter Wexler, our Interim Chief Financial Officer and Chief Legal Officer; and Francois Hardy, our Chief Technical Officer. They will all be available today to answer your questions at the end of the call. Before we begin, please take a moment to review our cautionary statements shown here and refer to our SEC filings, which can be found on our website. With that, I'll turn the call over to Natascha.
Natascha Viljoen: Thank you, Neil, and thank you all for joining today's call. At the beginning of this year, I transitioned into my new role as Chief Executive Officer of Newmont. And I want to be clear that the priorities that guided me as Chief Operating Officer and that contributed to Newmont's success in 2025 remain firmly in place. As CEO, I will continue to focus on the following key areas. Firstly, ensuring that safety remains the highest priority across the organization, embedding efficiency, including cost and capital discipline into everything that we do, demonstrating that we are the best owners and operators of our assets by driving continuous improvement and greater operational consistency; developing the highest return projects in our portfolio, ensuring our business has the runway to operate for decades to come; and enhancing shareholder returns by improving our per share metrics and returning capital to shareholders in a predictable manner, which we believe will support stronger price performance over time. Together, these priorities position us to strengthen our business, enhance returns and building gearing value for all of our stakeholders. Turning now to our results. The fourth quarter of 2025 marked a strong finish to a year of continued progress at Newmont. We achieved our full year guidance, improved our operational performance and strengthened our financial position, reflecting disciplined execution across the business. Our consistent focus on operational delivery, combined with a deliberate and patient approach to balance sheet management has positioned us to continue returning capital to shareholders while improving our financial resilience. Building on that momentum, today, we are introducing an enhanced capital allocation framework structured to be sustainable through the cycle. At its core is a dividend designed to grow on a per share basis, supporting by ongoing share repurchases that permanently reduce our overall share count. As the first step, we have increased our quarterly common dividend by 4%, with predictable future growth potential. With that in mind, on today's call, we will review our full year 2025 results, and then walk through Newmont's 2026 guidance and the enhanced capital allocation framework. But first, I want to take a moment to acknowledge the tragic loss of one of our team members, Matthew Middlebrook, following a fatal incident at our Tanami operation earlier this month. Our thoughts and deepest sympathies go out to his family, friends and colleagues, and we are focused on supporting them however we can during this very difficult time. An investigation into the circumstances that led to the incident is underway, and we are committed to fully understanding what happened and taking the necessary actions to strengthen the systems and controls we have in place to ensure that everyone who walks through our gate go home safely every day. Turning now to our operational performance in 2025. We successfully achieved our production and cost guidance for the year. We produced 5.7 million ounces of gold from our core portfolio as well as 28 million ounces of silver and 135,000 tonnes of copper. We benefited from the cost savings and productivity initiatives implemented last year which helped us mitigate pressures associated with a higher gold price environment and supported further margin expansion. In addition to achieving our absolute and unit cost guidance for 2025, we were able to meaningfully improve our G&A guidance for 2026 by $100 million, which equates to a 21% improvement. This operational and cost discipline contributed to record earnings and free cash flow on both the quarterly and annual basis, generating $2.8 billion in free cash flow in the fourth quarter and $7.3 billion for the full year. We also generated $4.5 billion in proceeds to date from the successful completion of our noncore divestiture program. And notably, we returned $3.4 billion to shareholders through dividends and share repurchases. Finally, at the end of 2025, we achieved commercial production at Ahafo North, bringing over 300,000 ounces of gold production into the portfolio this year. Over the last few years, Newmont has been on a transformational journey aimed at curating a world-class portfolio of operations with complementary gold and copper growth opportunities. In 2024, that transformation accelerated as we integrated new assays, began divesting noncore operations and improved our understanding of the potential of our portfolio. And in 2025, this focus shifted to stabilization and optimization with a deliberate emphasis on cost control, productivity improvements, project execution and expanded exploration activities. At the beginning of last year, we indicated that Newmont would benefit from a more stable production profile, and that is exactly what we delivered, demonstrating both the strength of our underlying portfolio and the capability of our people. And as I'll discuss in a moment, we continue to advance value-accretive growth options including the initiation of a mine life extension program at Lihir and the expected completion of Newmont's feasibility study for the Red Chris block cave in the second half of the year. Underpinning this portfolio is the industry's strongest reserve and resource base, providing long-term visibility and confidence. And with this, I will turn it over to Francois to review our 2025 reserves and recent exploration success.
Francois Hardy: Thank you, Natascha, and hello, everyone. Today, we announced that our gold reserve base stands at 118 million ounces, supported by an additional 149 million ounces of gold resource, together, representing approximately 40 years of production life with meaningful near mine upside potential at many of our operations. In addition to holding the industry's largest gold reserve and resource base, Newmont also has one of the largest copper endowments within the gold industry, providing significant organic optionality to further diversify the portfolio over time. Following a thorough review, we have increased our reserve price assumption for 2025 from $1,700 per ounce to $2,000 per ounce. Even with this increase, our reserve price assumption remains conservative at more than 20% below the 3-year trailing average and well below spot. And our reserve grade remained unchanged year-over-year when adjusted for the assets divested in 2025. It is worth noting that while our reserve price assumption may not change every year, we conduct a disciplined annual review process to ensure it remains appropriate and reflective of evolving views on near- and long-term price. While the divestment of noncore assets was the primary driver of the year-over-year change in reserves, there are a few additional movements worth highlighting. At Yanacocha, we reclassified approximately 4.5 million ounces from reserve back to resource following the decision to indefinitely defer the Yanacocha Sulfides project, better aligning the reserve base with our updated development strategy, as we prioritize other opportunities at and around the sites and continue advancing closure activities in nonoperational areas. This was partially offset by several meaningful reserve additions unrelated to gold price or cost escalation, including at Tanami and Lihir. And in the Brucejack, where we are seeing significant exploration success, converting approximately 740,000 ounces from resource to reserve. Our exploration activities also delivered promising results at Ahafo South, where we added approximately 2 million ounces to resource in 2025. Exploration remains one of the most strategic levers to extend mine life, grow reserves and create long-term value, which I'll expand upon as we turn to the next slide. Newmont's exploration program is tightly integrated across our 12 managed operations with approximately 80% of activity focused on near-mine and brownfields programs, which are designed to replace reserves, extend mine life and leverage our deep ore body knowledge to unlock future upside. The remaining effort is targeted at select greenfield opportunities that provide longer-term optionality for Newmont. While we're seeing encouraging results across the portfolio, I'll focus today on Brucejack and Ahafo South, where the work underway clearly demonstrates the strength of our approach. At Brucejack, our focused near-mine drilling guided by extensive ore body knowledge delivered a meaningful result in 2025. So in addition to the reserves I mentioned earlier, drilling activities also delivered new resources adjacent to where we're currently mining. And importantly, we have made a new discovery in the Dozer zone as highlighted on the slide, with several significant intercepts, including 20.9 meters at 154 grams per tonne downhole, representing another potential high-grade mineral zone and a key focus of our 2026 growth program. Together, these results reinforce the value of targeted exploration around existing infrastructure. They increase our confidence in Brucejack's longer-term potential and highlight the broader district scale opportunity within the golden triangle. Shifting now to Ahafo South, exploration beneath the Subika and the Apensu open pit continues to point to the next phase of high-grade underground growth. Based on current results, which are indicating grades higher than the current mine average, we anticipate exploration activities will deliver approximately 4 million to 5 million ounces of new gold reserves in 2026. This would meaningfully extend the life of Subika underground mine and support the potential development of a new underground mine at Apensu, both leveraging the existing surface infrastructure and processing capacity at Ahafo South. Looking at our broader portfolio, we're also seeing encouraging exploration developments at Merian, which we plan to provide a more comprehensive update on later this year. I'll now turn the call back to Natascha.
Natascha Viljoen: Thank you, Francois. 2025 was a milestone year for projects, punctuated by the successful commissioning of Ahafo North, a major achievement that now enables the mine to begin delivering an average of 300,000 ounces per year, and we are pleased to report that the total capital spend for the project is expected to come in at the lower end of our estimated range at approximately $950 million. Building on this strong momentum, we continue to advance our 2 other major projects in execution towards completion. Beginning with the second expansion at Tanami, with the 1.5 kilometer concrete shaft lining now complete, we are shifting focus to equipping the shaft and completing construction of the underground crushing and associated materials handling system. Construction for the headframe and mechanical work is expected to be completed in late 2026 with full project completion still on track for the second half of 2027. At Cadia, development for both panel caves continues, and we are progressing towards cave completion at PC2-3 in the fourth quarter of this year as planned. In addition, I'm pleased to announce that in December, we fired the first drawbell at PC1-2, making an important milestone for this project and initiating the next critical phase of cave development. And we continue to advance tailings work at Cadia while progressing the necessary government approvals to support continued operations beyond the current facilities for decades to come. In addition to these major projects in execution, we received full funds approval for the nearshore barrier mine life extension at Lihir, which involves the construction of an in-ground concrete water seepage barrier, unlocking access to over 5 million ounces of low-cost ounces from the Kapit ore body and extending Lihir's mine life to beyond 2040. And we continue to advance the feasibility study at Red Chris for the block cave expansion project with full funds approval targeted in the second half of 2026 when we plan to provide a more fulsome update. With the strong progress made in 2025, we are well positioned to continue delivering value from our world-class portfolio in 2026. Now I want to take a look now at 2026. And as with 2025, we are providing high confidence 1-year guidance within a plus or minus 5% range, along with a few of the key drivers supporting longer-term production growth. Beginning with production. Our 2026 guidance remains consistent with the indications provided on our third quarter call with total attributable production of 5.3 million ounces, including 3.9 million ounces from managed operations and 1.4 million ounces from non-managed operations. This outlook reflects the year-on-year changes from the planned mine sequencing at Ahafo South, Pe asquito and Cadia as well as the production impact from the Boddington bushfires in December. But we are pleased to report that the recovery following the fires is going well, and our team has successfully repaired the critical water supply infrastructure and processing operations have now restarted at full levels. This guidance also incorporates lower-than-expected ounces from Nevada Gold Mines and Pueblo Viejo as indicated by the managing partner. And importantly, through a careful assessment of our mine plan at Yanacocha and in light of the current gold price environment, we have identified a highly capital-efficient plan, which leverages current infrastructure to continue mining operations through 2026 and into early 2027, adding additional low-cost ounces that are expected to benefit our production profile in early '27 with further potential upside. For the full portfolio, we expect production to be relatively evenly weighted throughout the year with a modest second half weighting of about 52%. And as previously indicated, 2026 represents a trough in our production cycle due to planned mine sequencing across several operations as we position the portfolio to return to production growth in 2027 and beyond, maintaining our longer-term outlook of approximately 6 million ounces of gold and 150,000 tonnes of copper annually. Turning now to our cost outlook. As mentioned at the start of the call, we have made great strides towards improving and managing the cost within our control, and this will remain a key priority in 2026, especially when operating in a volatile macroeconomic environment. Last year, we committed to measuring the success of our cost and productivity program by our ability to control absolute cost. And in 2026, the only expected increases to our cost applicable to sales are those directly linked to timing impacts and higher gold prices, including production taxes, working participation costs and third-party royalties. Importantly, even with these price-linked impacts, all-in sustaining costs are expected to be more than $100 per ounce lower than they would have been without the cost savings initiatives launched last year, demonstrating the structural improvements we've made to our cost base. As previously indicated, we are providing guidance on a byproduct basis going forward, consistent with our industry peers while continuing to report both by-product and co-product cost for comparability. On that basis, 2026 all-in sustaining costs are expected to be approximately $1,680 per ounce. This assumes a $4,500 per ounce gold price, a $60 per ounce silver price and a $5 per pound copper price. And for every $100 increase in gold price, we expect a $6 increase in our all-in sustaining costs due to taxes, royalties and profit-sharing payments. Beyond the macroeconomic impacts, the year-over-year change is primarily driven by the reasons we addressed on our third quarter call, including lower gold production from planned mine sequencing, changing in inventory at multiple sites and the timing shift of sustaining capital from 2025 to 2026. But without the $150 million shifting from 2025, we now expect sustaining capital of about $1.95 billion in 2026. Of that, roughly 52% is weighted to the second half of the year, primarily related to tailings work at Boddington and Cadia to support production capacity and future mine life as well as the advancement of the ventilation work at Tanami, which is expected to be completed this year. Turning to development capital. We expect to invest about $1.4 billion in 2026 as we advance our major projects in execution, continue the feasibility study work at Red Chris and progress the mine life extensions at Lihir and Cerro Negro. We expect 55% of total spend to be weighted to the second half of the year, primarily due to the start of the work on the Lihir nearshore barrier. We also expect a modest step-up in exploration and advanced project spend to about $525 million this year as we continue to invest in value creating near our existing assets, including Brucejack, Ahafo South and Merian, as Francois previously touched on. Reclamation spend for 2026 is expected to be around $850 million, in line with 2025, primarily related to the construction of water treatment plants at Yanacocha, which are expected to be completed in 2027. Once complete, we expect total reclamation spend to return to more normal levels of between $300 million and $400 million in 2028. In the first quarter of 2026, we expect to make over $1 billion of tax payments, primarily due to accruals made in 2025. As a result and in addition to normal working capital seasonality, we expect first quarter free cash flow to be lower than the fourth quarter of 2025. Looking ahead, our longer-term production growth profile is supported by several clear and executable drivers. The continued ramp-up of Ahafo North, delivering new low-cost ounces beginning this year, the completion of the Boddington stripping campaign in 2026, enabling access to higher gold and copper grades beginning in 2027, the completion of Tanami Expansion 2 in the second half of 2027 as planned, the ongoing development of the Cadia panel caves extending mine life into the middle of this century and access to low-cost ounces at Lihir following the completion of the nearshore barrier, extending mine life well into the 2040s. Together, these opportunities provide a clear path to renewed production growth, supported by disciplined capital allocation and a portfolio designed to deliver value through the cycle. I will now turn the call over to Peter Wexler to walk through our enhanced capital allocation framework. Thank you, Peter.
Peter Wexler: Thank you, Natascha, and hello, everyone. Our capital allocation priorities and commitment to discipline remain unchanged and supported by our focus on maintaining financial strength and flexibility, reinvesting in our business to ensure long-term sustainable free cash flow growth on a per share basis and returning capital to shareholders in a consistent and predictable manner. With that in mind, our enhanced capital allocation framework begins with net cash from operations and then prioritizes that cash be allocated first to sustaining capital and our dividend, which are intended to be commitments that will remain consistent throughout the commodity and investment cycle. Second, cash will be allocated to development capital and our balance sheet targets, which may flex based on our needs and priorities. Third, excess cash available after these priorities are met will be allocated to share repurchases. Starting with the two priorities designed to be consistent through the cycle. We will continue to allocate free cash flow to strengthen the longevity and integrity of our portfolio through targeted investments in critical infrastructure, which may entail elevated sustaining capital over the next few years as we work to maximize the long-term value of our portfolio. We will also pay a sustainable cash dividend of $1.1 billion per year, creating significant per share growth potential for multiple metrics as ongoing share repurchases continue to reduce our overall share count. For the fourth quarter 2025, we have declared a dividend of $0.26 per share, reflecting the per share growth potential embedded in this new approach. Following these consistent commitments, development capital spend and our net cash position may vary over time to reflect portfolio needs and broader macroeconomic conditions. We will invest development capital to advance our current projects and prepare for the next phase of growth with a clear focus on responsibly advancing our highest return opportunities while maintaining strict capital discipline and a clear commitment to value creation. At the same time, we will maintain a resilient balance sheet, anchored by a $1 billion net cash target plus or minus $2 billion and underpinned by a minimum cash balance of $5 billion. This provides the flexibility to return capital to shareholders while funding our capital programs through the commodity price cycles and driving sustainable production growth and operational efficiency. Once these priorities are achieved, we intend to deploy excess cash on a ratable basis to share repurchases. This approach is expected to drive sustained per share growth in our dividend and provide shareholders with greater exposure to the strong free cash flow generated from our portfolio, even with the recent increase in our share price. Our shares represent an exceptional value given our world-class portfolio of long-life operations and our deep pipeline of gold and copper projects. With that, I'll turn it back to Natascha for closing remarks.
Natascha Viljoen: Thank you, Peter. In closing, 2025 was a year of execution and follow-through as we achieved our full year guidance, finished the year strong with a strong financial position, optimized our cost structure, advanced project capability, delivered meaningful exploration success and returned capital to shareholders, reinforcing the solid foundation we have built and the potential of this organization. Building on that, we are well positioned to drive margin expansion and generate robust free cash flow from our world-class portfolio of operations, projects and exploration opportunities. Our scale, asset quality and project optionality allows us to capture upside in favorable markets while remaining flexible through the commodity cycle. And finally, we are anchored by a resilient balance sheet and a disciplined capital allocation framework, which has enabled us to implement our enhanced approach to return capital, delivering predictable and sustainable returns to shareholders with a clear path to per share growth. As we look ahead to the rest of 2026, while we are operating in a rapidly evolving geopolitical and macroeconomic environment, our confidence comes from a clear understanding of our portfolio, a disciplined, responsible approach to investment, focused on delivering results and long-term value for our shareholders. Just before I turn to Q&A, I want to briefly address the recent announcement by our Nevada Gold Mines joint venture partner. At this time, the only information available to us is what has been publicly disclosed and as stated in our recent press release. Our primary focus remains on working with a managing partner to improve performance of these assets and generate long-term value for Newmont shareholders. As disclosed in our 10-K, we have issued a notice of default to our joint venture partner related to operational performance and management of Nevada Gold Mines. We do not have any additional information to share at this time and confidentiality provisions in the joint venture agreement prevent further comment on the notice of default. With that said, we look forward to addressing any questions about Newmont's operational and financial performance. I will now hand it back to the operator to open the call for questions.
Operator: [Operator Instructions] Our first question comes from the line of Lawson Winder with Bank of America Securities.
Lawson Winder: Very solid result. Nice to see for the end of the year to wrap it up strongly. If I could ask about CapEx and the -- and I apologize for that siren in the background. Just the CapEx as it sounds like there could be some potential upside through Red Chris and Merian. Could you just talk to those two projects and the update that we're going to be getting on those later in the year and whether that could lead to higher CapEx than what's currently been guided?
Natascha Viljoen: Lawson, it was a little bit noisy, so I'm going to just reframe your -- repeat your question to make sure. You're asking about CapEx and whether CapEx would increase with the Red Chris project and Merian. Is that what you asked?
Lawson Winder: Exactly.
Natascha Viljoen: Thank you, Lawson. Firstly, Lawson, we are on track to talk a little bit more in detail on Red Chris project towards the second half of the year. Our capital guidance, as we have stated it, is on average, the $1.8 billion on sustaining capital, $1.3 billion on development capital. And we did say that, that would be average over a period of time. The capital allocation framework also allows us to -- within the context of setting that guidance, allowing us to make decisions on value-accretive projects as they come along, and we will be disciplined in how we allocate any capital to further development projects. The Merian example that Francois has spoken about is certainly a future opportunity that we will be able to share more information upon later in the year.
Lawson Winder: Okay. I look forward to that. And then if I could, just on a separate issue with your JV partner, Nevada Gold Mines, Barrick. Have the two entities had any further discussion on Fourmile and a potential mechanism for vending that into the joint venture? Where does that currently stand?
Natascha Viljoen: Lawson, our current discussions have been predominantly around the improvement of the performance of Nevada. And I think a very constructive relationship to work together to improve that performance and -- which we believe would be in the best interest of all of our shareholders.
Operator: Our next question comes from the line of Josh Wolfson with RBC.
Joshua Wolfson: Just going back to the long-term growth targets of 6 million ounces. Is there any time frame that can be disclosed on when that target is expected to be achieved? And maybe what are the larger drivers for that?
Natascha Viljoen: Josh, thank you for that question. As I think as we've indicated over the last while is that we'll continue to give you 1-year guidance. We have completed our asset reviews. We just completed all of our long-term plans. And as we conclude this work and it builds to maturity, we will be able to give you a better guidance of what that profile would look like. And we certainly expect to be able to do that towards the end of this year.
Joshua Wolfson: Got it. And I guess I can't ask about NGM directly, but maybe indirectly related to some of the speculation in the media about M&A. Could you clarify maybe what the company's views are on M&A today and maybe just how this plays into the current gold price environment?
Natascha Viljoen: Josh, a really good question. Firstly, we're really happy with our portfolio of assets and our pipeline of projects. And as we do the work with -- on the back of all of our asset reviews, certainly enough potential in our own portfolio. We continue to evaluate our portfolio of assets, and that's just the right thing. We believe it's the right thing to do. It's part of the continuous work that we need to do. And as we find value-accretive opportunities to make any changes to our portfolio, we will do that, but it will happen in a disciplined way and within the context of our capital allocation framework.
Operator: Our next question comes from the line of Daniel Major with UBS.
Daniel Major: First one, just to be clear on the capital allocation waterfall that you provided, should we be reading that in terms of the commitment to the buyback that if you were to go above the threshold, so $1 billion plus or minus, you would -- we should assume in our models that 100% of free cash flow would be returned to shareholders through buybacks? And if that is the case, would that be done during a quarterly period or an annual period?
Natascha Viljoen: Thank you for that question, Daniel. So your assumption is accurate, and I think that's why we -- in the cash flow waterfall, we've set it out with clear expectations of where we want our cash to be, all driven to a resilient balance sheet. As noted as a reminder, share buybacks will be ratable. And as we come to the end of a program, and you would know that at the moment, we still have $2.4 billion left on our $6 billion approved program, we will go back to our Board for approval for any additional buyback.
Daniel Major: Okay. That's clear. And then a follow-up on the cost guidance, and you've changed the sort of headline guidance from co-product to byproduct. So on a like-for-like basis, your $1,935 co-product guidance for AISC. First, is it -- what is the like-for-like for CAS as well?
Natascha Viljoen: We don't guide CAS, Daniel, but it is -- would be in the order of $1,430.
Daniel Major: Okay. And then maybe just a follow-up on that cost dynamic. On Slide 16, you provided the drivers of the inflation through the year. If we look at those buckets, inventory change, working capital and volumes, would it be fair to assume those would reverse in the subsequent 1, 2 years?
Natascha Viljoen: Yes, Daniel, probably worthwhile to just quickly step through that. In the prepared remarks, we spoke about volume, and I've given you the underlying drivers that will reverse the volume. Sustaining capital, you remember that a portion of that is sustaining capital that we've moved from 2025 into 2026. And we will see an elevated level of sustaining capital whilst we're still busy with Cadia and Boddington tailings. The changes in inventory, you are right, it's predominantly driven this year by the fact that we are treating stockpile material at Pe asquito and that we are not adding any stockpile material at Lihir. And then we will see a change at Yanacocha going forward as well, where we're not mining anymore and putting material. So those changes of inventory are purely just a factor of where we are on our normal mining cycle. I think what is important, I want to highlight that our cost applicable to sales has stayed constant year-on-year. And I just want to direct you towards that as well and the work that we've done last year on making sure that we can keep what is in our control on cost stable year-on-year.
Operator: Our next question comes from the line of Tanya Jakisonik with Scotiabank.
Tanya Jakusconek: I'm going to start, Natascha, just on Nevada Gold Mines. I'm interested in your views on -- as you've had time to spend time on the property and look at what needs to be done to maximize shareholder value. Can you review with us what you think we need to tackle to maximize shareholder value and how long that's going to take?
Natascha Viljoen: Tanya, thank you for that question. I will kick off the question, and I will ask Francois, who led the team who was there to add anything as he sees fit. Firstly, we have -- we welcome the approach that we've seen from our JV partners with the change in leadership to work together to improve the Nevada Gold Mines' performance. And to that extent, we used the same kind of methodology that we've used for our own operations by really understanding district potential and working our way through opportunities, really thinking about the entire Nevada operations as a district and working it back all the way to near-term and short-term productivity improvements. And so it's exactly the same that we've done at Nevada. Francois?
Francois Hardy: Sure. Thank you, Natascha, and thank you, Tanya, for the question. I think just to build on what Natascha said, the opportunity is to fill the mill effectively and use a portfolio approach to how we do that and also to blend the different types of material that is available there. I think there's also some short-term opportunity in terms of optimizing plans across the portfolio rather than on a site-by-site basis. But those are probably the main drivers for our potential there at NGM.
Tanya Jakusconek: And sorry, the implementation, how long do you think all of this takes?
Francois Hardy: Yes. Look, it's an ongoing partnership at the moment with our JV partners. We did a review in December, and we continue to work through the action plan accordingly.
Tanya Jakusconek: Okay. And then my second question on still on Nevada Gold Mines. Just want to confirm, I understand that you have on, I guess, February 3, notice of default to Barrick. Can you just provide us just the process from this default and how we go forward and if it's not resolved? I just want to know the proceedings of what happens. I know there's a time period of where you try to resolve it. And if not, there's a court. I'm just trying to understand the timing of that and if the court is in Nevada, if there's no resolution.
Natascha Viljoen: Thank you, Tanya. I'm going to hand that question over to Peter Wexler.
Peter Wexler: Thank you, Tanya, for your question. I think you're absolutely right and you have access to the agreement, which was publicly filed, and it sets out detailed time lines for both how any disputes between the partners are resolved as well as the jurisdictional where it would be decided. So -- or if it ever gets to that stage, but you have that all right in front of you, actually.
Operator: Our next question comes from the line of Hugo Nicolaci with Goldman Sachs.
Hugo Nicolaci: Two questions from me, please. Look, the first one, I appreciate the emphasis on share repurchases as the key use of excess operational cash flow, but it appears that some of the more medium- to longer-term growth projects seem to have lost their emphasis a little bit such as the Red Chris cave and indefinitely deferring Yanacocha sulfides and some of the other resources like NovaUni n, Norte Abierto, Galore Creek, Conga, Laurentina, Wafi-Golpu, to name a few, they don't seem to be priorities for this decade. Do you see room for further divestments of resources from the portfolio? Or conversely, should we take the comment that you're exploring more opportunities in the region around Yanacocha that you're actually still acquisitive from here?
Natascha Viljoen: Yes. Hugo, there's lots in that question. So let me just see how I can unpack that. Firstly, we've built -- deliberately built this portfolio of assets with the intent to develop and grow it, first point. Second point, we will do that in the disciplined manner that we set out in our development -- in our capital allocation framework. So important to note. Your question around Peru. Peru remains centered to and key to our portfolio. You shouldn't read the fact that we have walked away from the Yanacocha Sulfides project as any indication to the potential that we have in the [indiscernible] project and the Conga project in Peru. As we've concluded -- as I mentioned earlier, and we've concluded the asset reviews and developing the profile going forward, all of these projects are under review. We've got a very clear framework in which we review these projects to sequence them appropriately in the project. The Red Chris project specifically benefited from the unfortunate incident that we had last year when we had the failure in the decline, but it benefited us in highlighting just the areas of opportunity to improve design. And there's no other indication than just an opportunity to improve design at Red Chris.
Hugo Nicolaci: Got it. And then a follow-up then maybe on costs. Great to see the cost savings initiatives you worked on last year coming through. Are you able to just provide some more detail on the magnitude of those cost savings that are hitting that 2026 outlook number? And then any further cost-out targets you're looking to try and deliver this year?
Natascha Viljoen: Yes. Probably a couple of ways that you can look at that, Hugo. The first thing is, as I said earlier, cost attributable to sales stayed constant year-on-year. So we've basically offset inflation. Another way that you can think about it is that savings allowed us to reduce $100 per ounce from our cost. So that is a good other way of doing it. So our all-in sustaining cost would have been $100 per ounce higher if we didn't have that. I also want you to point you to the G&A reduction. In the prepared remarks, we've spoken about a 21% reduction in G&A from guidance to guidance, and you will see that our G&A is well aligned last year with this year. So just a couple of markers that you can look at. We also -- as we've done -- as we've retired debt and repurchased shares, we've also seen a reduction in cost of about $230 million between those two elements. As we go forward, some of those -- we had two focus areas for cost reduction, headcount and non-headcount reduction. The headcount reduction has been completed and the future continuous work that we have through operational productivity and discipline, all goes back to the continuous non-headcount reduction, and we've made some significant progress to embed our savings in our cost structure.
Operator: Our next question comes from the line of Anita Soni with CIBC.
Anita Soni: I just wanted to ask about the Tanami expansion too. Just seeing the total spend to date is about $1.3 billion, and you're spending about $3.5 -- sorry, $350 million, $330 million this year. And the project total is $1.7 billion to $1.8 billion with still a significant amount of time to go. So will you hit that $1.7 billion to $1.8 billion? Or will you be near the upper end or slightly above that?
Natascha Viljoen: We are right on track to hit those targets, Anita.
Anita Soni: Okay. My other one is a somewhat quick one. On the capital allocation framework, you said plus the net cash position of $1 billion, but I see plus or minus $2 billion. I think maybe someone else mentioned plus or minus $1 billion. I want to clarify that, but -- and then also ask, it seems like a pretty wide range. Like how do you make that decision that we're going to keep an extra $2 billion of cash instead of buying back shares at this point?
Peter Wexler: Anita, that's a very good question. That was a very disciplined approach by the Board to take a look at the ability for the company to withstand volatility across commodity cycles and ensure that our fixed dividend is always payable and we can meet our commitments. It can flex up and down depending on where we are in both the cost cycle, the price cycle as well as the other needs for some of the nearshore projects that we might want to execute on that would be cost accretive with our financial discipline fully in focus. So that's how it was arrived. It was a very thoughtful process with the Board of Directors and -- to ensure the long-term resiliency of the company.
Natascha Viljoen: And Anita, it is $1 billion plus or minus $2 billion. So it is clearly set out in Slide 10. So the detail is really set out there for your reference.
Anita Soni: Yes. I just thought I heard someone say $1 billion plus or minus $1 billion. So I just want to clarify that. But I did see the slide, it says plus or minus $2 billion.
Operator: Our next question comes from the line of Daniel Morgan with Barrenjoey.
Daniel Morgan: My question is gold and copper at all-time highs, you have some of the best assets in the industry. Is there an opportunity to do a bit more on debottlenecking, brownfield expansion? Is this something that should be worthy of greater consideration? I mean if I look at a lot of the messages today, you've got a new capital allocation strategy, which appears to speak to a focus on returning cash rather than growth. Can you just talk about that?
Natascha Viljoen: Thank you, Daniel, and a really relevant question and something we continuously evaluate. So Daniel, firstly, we make sure that the baseline of our production remains sustainable through the cycle. I think that's an important evaluation. So that is [indiscernible]. Then we continue to look at short-term opportunities. In my prepared remarks, I referred to Yanacocha specifically, where we have seen an additional cut in the pits that we will be taking. So the really near-term opportunities we are focusing on are those where we have low capital investment because the moment you start to talk about capital investment, there's time associated with it. So low capital investment means quick to market. It considers constraints like tailings dam capacity because we do need to consider the cost and the time to ensure that we've got long-term tailings capacity. So that needs to be considered as part of the economic evaluation. And then the next constraint would be our processing plant. So we have no constraints, and we can make sure that it comes to market quickly with low risk, we are absolutely pursuing every opportunity. So a very good point.
Daniel Morgan: And are there -- I know you've got Red Chris this year, but I mean, maybe you can just cast the market's eyes to potential assets across the portfolio, which have those opportunities for debottlenecking where there's a plant that has very capital-efficient expansion or ample tailings? Or what are the assets where if we thought creatively about growth beyond, say, Red Chris that we should be thinking about?
Natascha Viljoen: Daniel, you're now talking just brownfield expansion, right?
Daniel Morgan: Correct, correct.
Natascha Viljoen: Yes. Okay. So a couple. Ahafo South, we definitely -- and Francois mentioned in his prepared remarks on -- and we're actively pursuing that development, underground development that goes hand-in-hand with the exploration work that we're doing. Ahafo North as a brownfields expansion, there's a potential for us to basically duplicate what we've done at Ahafo North to date. So that's a definite opportunity for us. If we look across and we look across to Lihir, we've just concluded 14A. So we will have access to high-grade ore there and the nearshore barrier will give us access to further high-grade material. If we go to Tanami, as we complete Tanami, there's certainly opportunities there for us. I'm just thinking through -- I think I've touched on all of the main ones. Brucejack, of course, Francois just reminded me here of Brucejack. Brucejack, there's two opportunities. The one would be that we are looking at stope sizes that is easy to -- easy for us to do to develop our stope sizes slightly larger, capturing the value of just what the ring around the current stope sizes, slightly lower grade, but we do have the capacity in both the plant and in the tailings dam. And then I'm going to quickly jump over to Argentina at Cerro Negro. We are pursuing an open pit that we should be able to access and start mining on towards the end of the year. And then at Cadia, just a reminder that PC2-3 basically will be up and full -- up and running by the end of the year and PC1-2 following closely after that. So a number of opportunities for us, some of which we've touched on already, but some of them not necessarily remarked on.
Operator: Our next question comes from the line of Martin Pradier with Veritas Investment Research.
Martin Pradier: My first question is related to Newmont and the relationship with Barrick. So there is this news about you having a Right of First Refusal. Could you confirm that you have that Right of First Refusal? And what does it mean? Can Barrick do an IPO without your consent? Or that will be violating the agreement?
Natascha Viljoen: Thanks, Martin. Peter Wexler will take your call.
Peter Wexler: Thank you, Martin, for the question. The rights for both parties are spelled out in the agreement. We don't have any other information than you do on the IPO and anything else would be a theoretical exercise. So we'll let you and as I noted to Anita to review the agreement and make that determination for yourself.
Martin Pradier: Okay. And in terms of Yanacocha, how much is in book value of Yanacocha still there? I mean I know you're stopping the development and you did some impairment, but I'm assuming there is quite a bit more there in the book value.
Natascha Viljoen: So on sulfides, book value was in the order of $78 million, Martin, and Conga is in the order of about $900 million.
Martin Pradier: So $900 million in Conga and how much in the other one?
Natascha Viljoen: $78 million. And yes, the $78 million in sulfide is predominantly in the equipment that's still there that we will be putting up for sale.
Operator: Our next question comes from the line of Levi Spry with UBS.
Levi Spry: Just one quick one back to Tanami. Can you just confirm the status there currently? And what's imputed in your guidance for this year and the rest of the ramp-up?
Natascha Viljoen: Sorry, Levi, I don't think we've heard you properly. Would you mind repeating?
Levi Spry: What's happening right now on site at the Tanami and what's imputed in your guidance this year and next?
Natascha Viljoen: Okay. And Levi, I assume you are asking in relation to the fatality that we had?
Levi Spry: Yes. Is it currently operating? And when will it turn back on? Or when do you expect it to turn back on?
Natascha Viljoen: All right. Thanks for that, Martin -- Levi. I just want to make sure I'm clear on your question. The operational side of Tanami has been up and running within about four days after the incident. After the incident, we shut down the entire site. We made sure that all of our colleagues are looked after and that everybody is getting assistance through our EAP process, and we wanted to make sure that people's focus is on operations so that it can be safe and didn't want to distract their attention. So operation is fully up and running. The project other than the shaft infrastructure. So we stopped all work on the shaft infrastructure, but development for the ventilation underground infrastructure is back to normal operations. And the shaft infrastructure, we will start up as soon as we've completed our internal investigation and make sure that we understand the root cause of the incident and make sure that it doesn't happen again. So what has been included is our normal production at Tanami. That's what's been included in our guidance.
Operator: Our final question for today will come from the line of Adam Baker with Macquarie.
Adam Baker: I'm just wondering from a corporate perspective, how you considered to lift your reserve and resource assumptions, noting that your resource gold price assumption is now $2,000 an ounce and your reserves at $1,700 an ounce. Why did you determine to do this? Do you think this is still too conservative? And I guess, how did the team land on that number?
Natascha Viljoen: Thank you, Adam. I'll ask Francois Hardy to answer that question.
Francois Hardy: Yes. Thanks for your question, Adam. I think we go through quite a rigorous process in terms of how we define our gold price assumptions. And we look at many different market assumptions and direction. And the one we tend to align with reasonably closely is the 3-year trailing average. And at the time of setting our 2026 gold price assumption for reserves, we were just above 80% of the 3-year trailing average, which is typically we like to be in the low 80s -- low to mid-80% of the 3-year trailing average. And obviously, it shot up since then. We don't believe it's too conservative. We have a rigorous process that we look at our total portfolio and we look at how we structure and look at our long-term mine plans and the like. So at this stage, the $2,000 is the right number for us, but we continue to evaluate short-term opportunities and the like. And I'll just point to reminding you that the mine plan assumptions and the reserve and resource assumptions that we make are two different numbers that we optimize against.
Operator: This concludes the question-and-answer session. I would now like to turn the conference back over to Tom Palmer for any closing remarks.
Natascha Viljoen: Thank you so much, operator, and it's still Natascha Viljoen here. And thank you for everybody for joining our call today and looking forward to our next quarterly call. Thank you.
Operator: That concludes today's call. Thank you for your participation, and you may now disconnect your lines.